Operator: Ladies and gentlemen, thank you for standing by. Good morning and welcome to the Choice Hotels International, fourth quarter 2012 and full year earnings conference call. At this time all lines are in a listen-only mode. Later there will be a question-and-answer session and further instructions will be given at that time. As a reminder, today’s call is being recorded. During the course of this conference call certain predictive or forward-looking statements will be used to assist you in understanding the company and its results, which constitute forward-looking statements under the Safe Harbor provision of the Securities Reform Act of 1995. These forward-looking statements generally can be identified by phrases such as Choice or its management believes, expects, anticipates, foresees, forecasts, estimates or other words or phrases of similar import. Such statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Please consult the company’s Form 10-K for the year ended December 31, 2011 and other SEC filings for information about important risk factors affecting the company that you should consider. Although we believe that these expectations reflected in the forward-looking statements are reasonable, we cannot guarantee future results, levels or activity, performance or achievements. We caution you, do not place undue reliance on forward-looking statements, which reflect our analysis only and speak only as of today’s date. We undertake no obligation to publicly update our forward-looking statements to reflect subsequent events or circumstances. You can find a recollection of our non-GAAP financial measures referred to in our remarks as part of our fourth quarter 2012 and full year earnings press release, which is posted on our website at choicehotels.com under the Investor Information section. With that being said, I would now like to introduce Steve Joyce, President and Chief Executive Officer of Choice Hotels International Incorporated. Please go ahead sir.
Steve Joyce: Thank you very much. Good morning and welcome to Choice Hotel’s fourth quarter earnings conference call. With me this morning as always is Dave White, our Chief Financial Officer. We issued our press release last night and I am very pleased to report a strong fourth quarter and that 2012 was a record-breaking year for our company in terms of operating performance. We established new company records for the size of the domestic franchise system, total franchising revenues, franchising margins, operating cash flows, operating income and earnings per share. Leisure travel was up, and as consumers continued to place a premium on value, they continue to seek out our brands as their hotels of choice for vacations and business trips alike. Our brands continue to attract the absent franchisees. During the fourth quarter we completed the largest conversion deal in our company’s history, adding 46 former Jameson properties to our system, primarily under the quality in brand. During the summer our central reservation system had record revenue results. Development continued to come back as we posted a 67% and 42% increase in executed domestic franchise agreements in the fourth quarter and full year 2012 respectively, and we returned value to our shareholders with a significant $10.41 per share special dividend payout last summer. We executed effectively against our strategic plans to drive reservations to choicehotels.com, to grow our market share, to enhance our equity brands performance to better meet the needs of our guest, to grow and expand into upscale and urban markets, to increase share of conversion opportunities to grow distribution brands, and also to expand internationally. These achievements are reflected in our key financial results, which Dave will over in more detail in a few minutes. As I mentioned, development appears to have turned the corner in 2012 and is expected to continue expanding in 2013. We continue to be among the top converters in the industry. Our brand, especially Quality Inn and Econo Lodge continue to attract strong interest from mid-scale and economy hotel owners. This is due to them recognizing the value that we add to their properties through our great central reservation system and easy to use cloud based property management system, as well our complemented franchise services, including opening an ongoing property support, training and other programs designed to maximize their return on investment. Over the course of the year, we accomplished significant milestones in our ongoing expansion into the upscale segment with both Cambria Suites and the Ascend Hotel collection. We executed eight franchise contracts for the Cambria Suites brand in 2012, including prime sites in top travel markets such as Manhattan, West Palm Beach, Florida, Rockville, Maryland at our new global headquarters building, Phoenix, Arizona and Plano, Texas, just north of Dallas. With six under construction and more coming, we fully expect to have 15 to 20 under construction regularly within the next 12 to 18 months. In December we had a historic triple ground breaking of three new Cambria Suites in the New York metropolitan area, including Times Square and Chelsea in Manhattan and downtown White Plains. We highlighted this event at the New York Stock Exchange where we rang the opening bell. The Ascend Hotel Collection continued its expansion with new member properties and gateway cities in the Untied States and Canada and openings in Boston, Gettysburg, Pennsylvania, Miami, New York, New Orleans and Calgrew, Canada. We executed 12 member agreements for the Ascend Hotel Collection in the Untied States during the fourth quarter and at the end of 2012 the collections stood at 72 properties worldwide. In January this year we sealed the strategic marketing alliance with Bluegreen Vacations, a leader in the vacation ownership industry. This alliance will allow us to further expand Ascend into great resort destinations and will add 21 new Ascend Hotel Collection properties into top vacation destinations. The new alliance with Bluegreen marks the first time Choice Hotels has entered into such a relationship with a timeshare company. In turn Bluegreen Vacations owners will be able to enjoy new benefits, including the ability to exchange their timeshare interests for free nights at Ascend Hotel Collection properties or for choice of privilege points, which they can use for free nights at Choice Hotel’s properties worldwide. The new types of hotels and markets we are expanding into through the Ascend Hotel Collection are dramatically changing the look of our portfolio with great new destinations to visit and where guests can redeem and use Choice privileges reward points. At the beginning of last year we kicked off Comfort brands, redefined and redesign program to revitalize Comfort Inn and Comfort Suites. This effort is strengthening and revitalizing the Comfort brand’s 2000 domestic hotels and will help drive long-term brand performance and guest loyalty. We have also made good progress on the termination strategy we began implementing last year for these brands to ensure our hotels consistently meet the standards our guests expect. Sleep Inn achieved many significant milestones in 2012, nearly 25% of the Sleep system is now part of the design to Dream brand enhancement program. Sleep Inn’s renovated design to Dream Properties are experiencing double digit RevPAR growth. In 2012 executed deals and applications were notably up for the brand. Executed deals overall were up 145% and new construction applications were up 186% as compared to 2011. We also advanced our international system growth in January. We executed a strategic agreement with Akkeron Hotels Group Ltd, a well-known regional hotel operator in the United Kingdom. This agreement is expected to initially result in nine Akkeron Hotels operating on the Choice Hotels franchise agreements in the U.K., representing an almost 25% increase in our U.K. hotel portfolio and the addition of 611 rooms. With 34 properties in the Akkeron system, we expect to be able to convert many more as well. This agreement forms a critical part of Choice Hotel’s growth strategy, to offer financial support to boost development in key international markets such as Europe. We also continue to see positive steady improvement in a number of other key areas that drive our success, including central reservations and technology and recent development results that help drive EBITDA. In the area of reservations, our proprietary central reservation system channels, choicehotels.com website and our call centers continue to provide our franchisees the highest average daily rates at the lowest costs and for the first time ever, choicehotels.com contributed over $1 billion in worldwide revenue for the choice system, up 14% from a year ago. Across all CRS channels in 2012, CRS contribution was 34.3%, increasing 200 basis points over 2011. In 2012 CRS experiences three record setting days above $12 million, another first for the company. Our mobile channel revenue was up 194% in 2012. Our tablet only revenue was up 235% in 2012. During the fourth quarter 2012 the mobile channel overall contributed over 10% of all online revenue for us. We believe that we are leading the industry in this area. June 2012 was our first ever $10 million plus mobile revenue month for Choice. Choice privileges, our guest loyalty program, added over 2 million new members in 2012 and now has 16.5 million members, making it one of the fastest growing awards programs in the industry. It continues to engage brand loyalties for us and drive hotel space. Looking ahead for the year, we are relatively optimistic about 2013 for both Choice and the industry. RevPAR growth is expected to be driven more by rates in 2013 and as we continue to see employment improve, we will also see hotel room demand increase. How well our industry performs will also depend in part on Washington and how it handles the many critical issues on the table, from taxes to the debt ceiling, to easing travel restrictions to the U.S., to immigration reform and healthcare, all of which impact the economy and our business. Let me now turn over the call to Dave White to give you a little more detail. David.
David White: Thanks Steve. As you read in last night’s press release, we reported adjusted diluted earnings per share of $0.45, which exceeded our previously published outlook of $0.40 per share by $0.05. Compared to our outlook, approximately $0.03 per share of the out performance is a result of better than expected operating and EBITDA performance, driven by both top line revenue growth and cost management. The remainder of the out performance is primarily due to a lower effective income tax rate than forecasted. Our domestic royalty revenues were slightly better than we had expected, primarily on account of the size of the franchise system exceeding our expectations. The domestic system size grew by 1.6% over the past 12 months, which exceeded our forecast of approximately 1%. Our domestic system growth was highlighted by the conversion of 46 units previously branded under the Jameson Inn flag to our brands. While the conversion of these 46 hotels did not have any material impact on our fourth quarter royalties since they did not open until late December, they are expected to generate annual royalties of approximately $2.5 million per year. This deal also highlights our ability to execute franchise agreements and rapidly convert hotels into an open operating property in our system, as these contracts were both executed and opened within the fourth quarter of 2012. I would also highlight that the 1.6% growth of our domestic franchise system over the past year exceeded the net unit growth experience for the overall U.S. lodging industry, and has resulted in the continued expansion of our market share. Domestic RevPAR growth for the quarter was approximately 4.2%, which was in line with our guidance of 4%. As a reminder, our RevPAR results for the fourth quarter reflect our franchisees gross room revenue performance for the month of September, October and November. Our RevPAR growth was driven by a combination of a 120 basis point increase in system wide occupancy and a 2% increase in our average daily rates. While the pace of RevPAR growth has continued to moderate, we are optimistic that we will continue to see RevPAR gains in the mid single digits percentage area in 2013. Finally, our effective domestic royalty rate for the quarter increased 5 basis points from 4.31% for fourth quarter 2011 to 4.36%. We attribute this increase primarily due to the burn off of some of the steeper royalty rate discounts given in conjunction with our development incentive that was in place during 2010. As a result of our net unit growth, RevPAR gains and increased effective royalty rates, we achieved a 6% increase in domestic royalty fees for the fourth quarter, which increased to $59.3 million from $56 million last year. Our initial and re-licensing fee revenues for the quarter were also stronger than we expected, primarily on account of an increased number of new and re-licensed franchise agreements executed. During the fourth quarter of 2012 we executed 214 new domestic franchise sales contracts, representing a 67% improvement compared to the same period of the prior year. In addition, the number of re-licensing and renewal contracts executed during the fourth quarter improved 10%, as these types of transactions continue to accelerate in our system. The percentage increase in new domestic sales and re-licensing contracts, are not fully reflected in our initial and re-licensing fee revenues, as initial fee and re-licensing revenue increased only 6% to $5.3 million. This primarily reflects the delayed timing of revenue recognition related to contracts executed under our incentive programs. We expect these timing differences to reverse in future period as the new franchised hotels open. Those two factors combined with the results of our international royalty revenues and other revenue categories resulted in our franchising revenues exceeding the expectations contemplated in our guidance by approximately $2.3 million for the quarter. On the cost side of the business, the measures we implemented in the fourth quarter of 2011 to increase productivity and streamline services continue to have a positive impact on our margins. Our adjusted SG&A during the three months ended December 31, 2012 acquired by nearly $2 million was 6% to $28 million from the same period of the prior year. As a result, the combination of the top line revenue growth we achieved during the fourth quarter and disciplined cost management, resulted in our adjusted franchising margins expanding from 56.8% in the fourth quarter of 2011 to 60.8% in the current quarter. Furthermore, as we mentioned in our release last night, our adjusted franchising margins for the full year 2012 increased to 64.3% from 61.5% in the prior year, which is the highest in the company’s history as a public company. Adjusted diluted EPS was $0.45 for the fourth quarter 2012 compared to $0.46 per share for the fourth quarter 2011. As a reminder, our fourth quarter results reflect an increase in borrowing costs, resulting in the special cash dividend paid on August 23 of $10.41 per share or approximately $600 million in the aggregate to our shareholders. As a result of the financing transactions entered into at the end of the second quarter and the beginning of the third quarter of 2012, our interest expense increased by approximately $7 million during the fourth quarter of 2012. Our full year cash flow is provided by operating activities increased, $26 million to $161 million, which is another record for the company. We continue to utilize our operating cash flow as returned by the shareholders through share repurchases and dividend. In addition, as we have previously discussed, we are utilizing our operating cash flows to offer financing and investment support to qualified franchisees to incent development of Cambria Suits in key markets. During 2012 we saw an increased opportunity to support the growth at Cambria, and as a result the company advanced net of repayments of approximately $41 million in mezzanine financing and sliver equity positions, to bring Cambria to such markets as New York City; Plano, Texas and Phoenix, Arizona, and as of the end of the December 2012, we had approximately $68 million outstanding related to this program. Over the next several years we expect to continue to optimistically deploy capitals from those growth at Cambria Suits. However, the amount and timing of the investment in these programs will be dependant on market and other conditions. Turning to our outlook for 2013, we currently expect first quarter, diluted earnings per share to be $0.26 and full-year 2013 diluted earnings per share to range between $1.96 and $1.98 per share. We expect full-year 2013 EBITDA to range between $215 million and $217 million. These figures assume our domestic system-wide RevPAR increase for the first quarter as approximately 5% and the range between 4.5% and 5.5% for full year 2013. We expect our net domestic unit growth for 2013 to increase by approximately 1.5%, and our effective royalty rate to increase by approximately 3 basis points. We also assume an effective tax rate of approximately 28.5% for the first quarter and 30.6% for full year 2013. All of our figures assume the existing share count, which was approximately 58.2 million shares as of the close of business yesterday. So overall, we are very pleased with our record setting 2012 and are focused on keeping this momentum going in 2013. Now, let me turn the call back over to Steve.
Steve Joyce: Thanks Dave. Overall I’m very proud of what we achieved in 2012. We are positioned to build on our accomplishments in 2013, executed well against our strategic plan and drive excellent results for our company and shareholders. We also are benefiting from strong RevPAR. We will continue to invest in programs designed to drive more reservations through our central channels, improve guest loyalty and improve the value of our brands in an effort to drive incremental business to our franchisees. I am optimistic about our long-term growth prospects, as well as our ability to continue to meet our goals and commitments. All of our accomplishments last year and what we expect to achieve this year would not be possible without our loyal and committed owner operators and talented team members who work together to make every experience great for our guests. Now, let me open up the call and take any questions you might have.
Operator: (Operator Instructions). First question comes from Steve Kent of Goldman Sachs. Please go ahead. Your line is open.
Steve Kent - Goldman Sachs: Hi, good morning.
Steve Joyce: Good morning Steve.
Steve Kent - Goldman Sachs: Just a couple of quick questions on the financing environment for new build in particular, where we’ve been seeing a little bit more activity on that front and I just wanted to hear your comments on that.
Steve Joyce: Yes, it’s actually encouraging. Its still I would say a relatively slow recovery, but I think we mentioned on the last call that the urban markets really had pretty good support from the lending institutions, provided you had the right sponsorship and what we are seeing that expand to. And this you will see it in the sleep numbers, that in the regional and smaller market lending, those banks are beginning to put capital into lending again and so we’ve seen a number of our franchisees who are pretty much relationship based developers that have small local or regional banks lending to them, are starting to get financing for their projects and then our larger franchisees are finding capital available on sort of a national basis. So your seeing that sort of in the numbers now, granted we are coming back from a low base, but I find it very encouraging and it seems to be steadily building and every time we meet with the franchisees, kind of the buzz around new development and guys getting ready to pull the trigger on deals is increasing. So while its still not where we’d like it to be, ’12 was really the year that it looked like it turned around and we’re expecting ’13 to sort of continue along those lines and then hopefully heat up a little bit. I would still caution that it’s coming back at a slower pace than desired, but its definitely moving.
Steve Kent - Goldman Sachs: Now, I know you mentioned that you put in some sliver equity in some of the urban locations, but you need to do some of that or some of these other opportunities where maybe a regional or a local bank might be willing to allow our franchisee to develop, but just needs a little bit of help from you all.
Steve Joyce: Yes, we have not seen that. We’ve seen the deals they got going; they don’t need us to step in. Now we are incenting for multiple deals, but those incentives tend to be more of a ramp in the fees than they do sliver equity. Almost all of our capital from here on is going to be aimed inside the bell way. There maybe a couple of minor exception, but we are not finding the need for our core brands to incent with injections of capital to grow, Cambria being the exception to that, that Dave mentioned.
Steve Kent - Goldman Sachs: Okay. Thanks Steve, thanks Dave.
Operator: Thank you. The next question comes from Felicia Hendrix of Barclays. Please go ahead. Your line is open.
Unidentified Analyst: Good morning. It’s actually Sheila (ph) calling in for Felicia. How are you guys?
Steve Joyce: Good. How are you Sheila?
Unidentified Analyst: Good, good. I had a couple of questions. On the Jameson Inn’s deal, that sounds like a pretty good work, so congrats on that. I’m just wondering, do you see a lot of opportunities out there for similar large transactions like that one or should we consider this more like a one off.
Steve Joyce: Well obviously they are not plentiful, but I will tell you that they are not unique either and so one of our expectations in the numbers that we put out for this year, that we will find – I don’t know if we are going to find them that large, but we’ll find some multiple hotel opportunities, and we are looking at a couple as we speak. So I think that one, that was a very large transaction that was fortunate that the owners were very interested in working with us and we very aggressively pursued it and helped them get that deal done. But we also believe that yes, very likely we could have another one or two over the next 12 to 15 months. They may not be quite as large, but we think there’s some multiple hotel deals to be added.
Unidentified Analyst: Okay. And did I understand correctly. Did you say that you were already including some of these multiple deals in your guidance for this year?
Steve Joyce: Yes, well our expectation is in the guidance on the unit growth, there will be a couple of multiple unit deals in there.
Unidentified Analyst: Okay. And then on the royalty rate, I think David you mentioned it was prudent because the incentives were burning off. Could you give us any color on what kind of royalty rates your achieving on new contracts most recently and also for the Jameson deal, if you can disclose that?
Dave White: Yes, so on new deals we are still offering an incentive. I would say that it’s a little more modest than we’ve offered over the past 12 months that does involve a royalty rate discount and some level of rebate of initial fees. Judicially its going to really depend on the specific kind of clash in circumstances of a deal, like where the particular hotel is and the particular market, but we can do in the first two years anywhere from 100 to 200 basis points off of the effective royalty rate, so that’s kind of how we think about it. On the Jameson transaction, if you look at that revenue stream, we are looking at that to be about $2.5 million a year of royalties in the first year, which is in line with that discount that I just talked about.
Unidentified Analyst: Okay, so that should also ramp up, because it’s being discounted in the initial years.
Dave White: Yes, over time that ramps up. Its kind of a long term arrangement and the idea would be at some point those hotels probably transition ownership from the financial sponsor to kind of more natural owners and individual franchisees and that’s going to give us a good opportunity to drive that rate higher over time.
Unidentified Analyst: Okay, that’s helpful. And if I could ask one more, about your RevPAR performance in 2012, it looks like it sort of accelerated each quarter throughout the year and I just was wondering if you guys could maybe explain that. Also your outlook for 2013 seems to be about 100 basis points below 2012. So just if you could explain that, that will be helpful.
Dave White: Well I think probably the biggest when you think about the deceleration of the growth rate in RevPAR is looking at the comps. I mean your going up against continually harder and harder comps. So if you think about where our overall full year ’12 RevPAR finished up, we were a bit below the STR results for the segments where we operate, but not that far below those segment averages, and I think the thing you have to keep in mind when you think about Choice is our mix of product has to skew less urban and more in the secondary markets. So that’s really not any different than it’s been in past years. Although I would say, if you look at that over there that discount over the past several years we’ve actually closed the gap a fair amount. So the discount to the SGR trends, three or four years ago were not at that same level of discount. We’ve been able to close that gap, which I think is a real testament that I think Steve talked about in terms what we’re doing around brand strategy to drive performance for our franchisees and what we are doing around distribution to drive heads in beds. But when we look out into the next year, 2013’s RevPAR, we obviously provided a range of RevPAR outcomes that are, yes, they are 4.5 to 5.5, it’s a bit above kind of our full year 2012 level. But we think very appropriate given what prognosticators are showing for our segments. I mean I think Smith Travel Research is somewhere in that. If you blended our room supply and their forecast for ’13 maybe somewhere between 4.5 and 4.75. We are very much comfortable at that level.
Unidentified Analyst: Okay, that’s helpful, thanks.
Steve Joyce: Thank you.
Operator: Thank you. The next question comes from the line of Robin Farley from UBS. Please go ahead. Your line is open.
Robin Farley – UBS: Thank you. Yes, two questions; first is, I heard your commentary in terms of financing for new supply. I guess could you tell us your guidance for unit growth, how much of that is conversions versus new supply in terms of what you’re expecting.
Steve Joyce: Yes, so for next year we are still expecting the majority of our gross earnings to be conversions, as opposed to new constructions. They probably look fairly similar to were we were this year, so this year we opened close to 300 conversion hotels and about 30 new construction hotels. Next year will be kind of order magnitude in that same spot, a little bit higher on an overall basis, but yes, same rough mix between conversion and new constructions for next year. There’s obviously a lag between when folks are – right now as Steve talked about the financing markets feel better, banks are just kind of saying no from the get-go to new construction, but its going to take a bit of time for that to translate to shovels in the ground and hotels coming out on the ground and hopefully opening. So I think as you think about 2014 and 2015, what we are starting to see in the credit market is what will pay off in those years in terms of the new construction openings, and maybe a little bit sooner on more of the kind of the moderate to our new construction site around sleep.
Dave White: Yes, so we were expecting new construction to continue to swing up in terms of percentage, but when the openings actually occur its probably a little bit more lagged. The other thing that you should keep in mind is that there have been sort of a hold off in terms of really hotels that are level changing hands. We see that beginning to shift. When that shifts, that obviously provides opportunity for us to convert hotels and then the other major portion that has not been in place for the last couple of years is the other brand companies brining in new properties and terminating hotels from their portfolios that provides an opportunity for us. That had slowed down considerably based on the performance of a number of those brand companies in terms of new deals they did last year. We are expecting that to swing up as well. So we think because of those two reasons the conversion market’s going to be pretty strong ’13 and maybe into ’14.
Robin Farley – UBS: Okay great, that’s helpful, thanks. And then my other question is, just looking at your Q4 performance versus the Smith Travel data for your segment, for September, October, November and it looks like it under performed a little bit from the national averages in there. I wonder if you did anything particular driving that.
Steve Joyce: Yes, its really consistent with the previous question. I mean we have traditionally lagged Smith Travel Research performance when you take our room supply and weight it based upon the different segments that we operate. So that’s very consistent with the company’s history. I think part of the highlight would be that if you look back three, four or five years ago, that spread between where our performance was on a RevPAR growth perspective and the industry was much wider, so we’ve actually been able to narrow the gap. And then that’s despite the fact that we tend to have hotel mix that skews less urban and more secondary markets. So its really, in absolute numbers the biggest difference I think is the location of the hotel, and again I would just highlight that if you look at that gap over time, we’ve been able to narrow it a lot based upon on our brand programs and our real focus on how we are delivering revenues and heads and beds to our franchisee system to improve their top line performance.
Robin Farley – UBS: Okay, great. Thank you.
Steve Joyce: You’re welcome.
Operator: Thank you. The next question comes from Nikhil Bhalla from FBR. Please go ahead. Your line is open.
Nikhil Bhalla - FBR: Yes, thank you. Steve, I just wanted to get a sense of how the SBA lending activity and also the EB5 loan programs are impacting your new hotel development and conversions.
Steve Joyce: Yes, the SBA financing and the expansion of that program and the increase in levels has been instrumental in the new deals that are coming up. I don’t know what the percentage is, but there is SBA participation in a number of our new construction type hotels, in a number of the purchases and so that has been a very positive aspect. EB5, it keeps rolling along. Its got a lot of support and there’s a lot of discussion about it. We’ve got that mixture. Those are going into mostly urban type projects. So we’ve got components of those in a number of the Cambria hotels we are looking at. It’s a very attractive financing program. It allows for leverage levels that you probably wouldn’t get from a standardized financing issue, relative attractive rates in terms, and so we’ve got, I would say several deals that we are looking at EB5 money in those deals and we expect to sort of for that to play a role in those. But those are primarily the urban type projects, because of the way and the restrictions around how that financing can be utilized and how it needs to be approved and it has to be for a shovel ready project and we got to prove the jobs and all that stuff. But it’s a very attractive source. We got a number of our owners interested in it and we fully expect to see that be a relatively important part of the number of deals we are getting done.
Nikhil Bhalla – FBR: That’s great. And just one follow up question. If I look across all your different bands, I mean it seems like in 2012 you purchased a lot of Comfort Inns and Comfort Suites, which tend to be typically higher RevPAR types of property. But you included a lot of quality Inns, which have generally lower RevPAR. How do you see or mix deals and everything else supporting sort of this, the average RevPAR in the portfolio over the next few years.
Steve Joyce: Well, obviously in the short term when we take out Comforts and a lot of our growth comes in quality conventions, from a company standpoint they are obviously all positive, but from an absolute RevPAR standpoint the mix will get a little, will soften a little bit. Obviously the more Cambria’s in the sun we had, that pushes the other direction. And so our goal though is to lift the Comfort and Sleep Systems significantly from where they were. So in the long term we obviously believe that’s going to be a very positive RevPAR impact and then the moving into upscale will obviously have an even greater impact than that. So I think you should view it similar to the way you’ve seen some of the other brand companies. When they’ve gone back to kind of reintroduce and remake a brand, part of that includes the termination of hotels that simply don’t fit the portfolio any more. One of the benefits we’ve got is that we’ve got a brand to put them in and so roughly 40% some hotels that we are taking out of Comfort, we are bale to move into another one of our brands. That’s partly why you see that growth, and so that’s a very positive thing for us. But then in the long term and the long term to us we are talking three to give years, we believe that that will move those brands into a significantly higher RevPAR level, which will lift the overall system and also quite frankly make it a much more attractive, more revenue intensive hotel for us. As those hotels, the older hotels that served us well for 20 years or 30 years, but maybe don’t fit the profile of Comfort any more, move into another brand that they fit better, but we replaced that with a much higher revenue in terms of Comfort Inn or Comfort Suites.
Nikhil Bhalla - FBR: Got you. Thank you very much for the color.
Operator: Thank you. The next question comes from the line of Tim Wengerd from Deutsche Bank. Please go ahead, the line is open.
Tim Wengerd - Deutsche Bank: Hi, good morning. I’m wondering much EBITDA is included in your guidance from the $68 million of sliver equity and mezzanine financing that you’ve made so far.
Dave White: Yes, it would be relatively little in 2013, primary because those investments for sliver equity positions and the mezzanine investments. For the most part, those hotels are in the early stage of development, in the early state of discussions. So I think White Plans opens there in 2013, kind of middle of year. That’s the only significant one that’s would be considered into our 2013 outlook. So it’s a pretty diminimus amount for ’13 EBITDA. It will start to play a bigger impact in ‘14 and beyond.
Steve Joyce: Yes, and while there maybe some impact, these hotels are, they are sliver investments, so they are not consolidated. So it will be the net result of the overall activity in that venture.
Tim Wengerd - Deutsche Bank: Okay, and then would you expect to be at the high end of the $20 million to $40 million investment range in 2013.
Steve Joyce: Its really going to depend upon the opportunity we see. So we intentionally put a range out there to kind of provide that perspective, that its going to depend upon how things play out, what the opportunities are, what the credit markets look like, can we get the right developers, which is critical in the right markets, which is also the critical piece of it, so I don’t want to tie it down anymore to be on that. I mean its obviously been pretty volatile for us and as I stated, when we stated this program back in ’08 the desire was to put out $20 million to $40 million per year and here we are five years later, in the aggregate we put out $70 million, because that’s what the cards that were dealt to us in terms of the opportunities. But frankly, I think we’d probably be happier if we can get more out there and get more development going for these brands, but I don’t want to pin us down anymore narrowly than the range we put out there.
Dave White: And I think the way we ought to think about it is, we are a very disciplined underwriter, so the deals have to work and at the same time though we are hoping that its at the higher range and in addition to that we are already seeing in some instances opportunities to recycle capital that we put out. So it’s not a single door; it’s a more of a flow in and flow out and in a lot of these deals that we are doing, we are anticipating relatively short ramps, which means refinancing will probably be in the earlier years of their existence, which means that in a lot of cases the owners, while they want us to participate and we are happy to do that, they’d also like us at the end be their franchisee or not their partner of lender. And so we view it as, we view all this as upside. One of the things that we made sure, all along is that we have adequate capital to do not only the investments we need for Cambria, but other activates that we are looking at and keep all of our options open and that’s where we are and we are hopping in ‘13 that if things keep going like ’12, that we would be at the higher end of it, and we are working on a number of deals that gives us some confidence that if things went right, maybe it would be, but it really is sort of a deal-by-deal basis and also what’s going on in the markets and the opportunities, the partners we are dealing with.
Tim Wengerd - Deutsche Bank: Okay thanks. And then one last question on CapEx; what do you expect CapEx to be this year?
Dave White: So for CapEx we think that that’s the standard PP&E part of CapEx. Traditionally we are somewhere around $12 million to $15 million to kind of maintenance CapEx. This year as Steve mentioned earlier, we are relocating to a new headquarters building, so it will be about a $10 million on top of that, of which that will go through the investing activity section of the cash flow statement. Actually it will be more like $20 million, but we’ll get $10 million back from landlord incentives, which will actually flow up though operating cash flows. So the net-net of that is about $10 million more than our normal run-rate, which is kind of $12 million to $15 million though operating cash flows. So net-net of that is about $10 million more than our normal run-rate, which is kind of $12 million to $15 million per year.
Tim Wengerd - Deutsche Bank: Okay perfect. Thank you.
Operator: Thank you. The next question comes from the line of Andrew Didora from Bank of America. Please go ahead; your line is open.
Andrew Didora - Bank of America: Hi, good morning. Just wanted to get your thoughts on the balance sheet here and your use of free cash flow going forward. I mean, how do you prioritize your cash between delevering dividends and buybacks.
Dave White: So, I think as we have consistently said, return to shareholders is always our top priority, a and you see that reflected in our dividend policy and the dividend that we gave this summer, in our approach to buyback. In the situation for the dollars that we borrowed, this year, are focused on paying those down. But as we are a very efficient cash machine and so deleveraging occurs rapidly in this company. And so we want to continue to not only make sure that we’ve got capacity to do whatever we want, we have some obligations in terms of debt structures we put in place. But we are always focused, first and foremost on return of value to shareholder, whether that be in the form of dividends, whether it be in the form of share repurchase or some other vehicle that we come up with, depending on what happens long term with taxes, and so that’s always number. We have some obligations, but given this company’s cash flow generation proclivities, that’s not much of an issue for us and so we continue to look for other opportunities to grow the value of the company or to return it.
Andrew Didora - Bank of America: That’s helpful. Just one quick follow-up; where do you kind of see your target leverage level.
Steve Joyce: Well, we’ve said we are very comfortable at sort of 3 to 3.5, but I think given the stability of our cash flows, if the right opportunity came along we could do more. We’ve lived a lot of less. I mean we were almost at zero before we did the dividend and so we are in a pretty attractive position of being able to lever up fairly easily with a very, very stable set of cash flows that gives us comfort that we could go at various levels. I think our general target is probably in that 3 to 3.5 range, but its simply – I would say that its always more dependent on the opportunities we’ve got in front of us.
Andrew Didora - Bank of America: Okay, that’s great. Thank you.
Operator: Thank you. The next question comes from David Loeb with Baird. Please go ahead. Your line is open.
David Loeb - R.W. Baird: Good morning David. Can you go back to Jameson and just talk a little bit more about the economics of that transaction. The $2.5 million that should start in 2013?
Dave White: Yes, yes, that’s our annual estimate for 2013. Based on the economics we are at 46 hotels during the system predominantly as Quality Inns with a company of Comforts as well and essentially, similar to what we do, just in our normal domestic kind of franchising business for the conversion brand, we provided a level of forgivable promissory note. It’s a 10-year deal. So basically we provided some upfront cash, which say we expect them to use to do renovations on the properties and implement the property improvement plans to get the hotels where they need to be to fit with the brand standards. And then over with that 10 year period the forgivable prom note will burn off.
David Loeb - R.W. Baird: What was the level of key money, what was the capital amount?
Dave White: It was just under $6 million, and sincerely the way to think about that is in addition to the $2.5 million of royalties, we’ll get an additional $2.5 million of system fees and so $5 million of cash flows per year. So relatively short payback against that $6 million investment and also a longer contract term than we would traditionally get.
David Loeb - R.W. Baird: Very high return on that.
Dave White: Yes.
David Loeb - R.W. Baird: And can you talk a little bit about the competitive process about how Aimbridge decided which ones would go to your system, and which ones would go to window.
Dave White: Yes, I think that they went though a fairly aggressively look at their portfolio to try to figure out how did they optimize it and I think the other thing that was critical in that process was just, looking where we had impact with other hotels. Obviously we are very sensitive to our franchisees and impact. So there was some limitations in terms of the number of hotels that we could add to our system, because of that impact situation, given where these hotels where in their markets and so what we got down to was the 46 which ended up in our portfolio. Colony Capital and Aimbridge got very comfortable with what we can do with those assets in terms of getting the fiscal product where it needed to be to fit our brands and getting there, we expect this to be very positive. As I mentioned, that $2.5 million for example, lets just assume they operate at the same level they were operating under as Jameson’s, and that we fully expect and fully hope that we will actually be able to outperform for those hotel owners, the levels that we are getting under the old brand, in which case we’d have more upside on both the royalty and the system fee. But they went through a competitive process where they compared the opportunity for each hotel and what lags were available in each market and competed against us and other lodging companies out there. I don’t know Steve if you want to add to that.
Steve Joyce: No, I think that’s right. Obviously given our distribution, the impact issue played a role, but we’re very happy with what we got.
David Loeb - R.W. Baird: Thanks great. Thank you.
Operator: Thank you. (Operator Instructions). The next question comes from the line of Patrick Scholes from SunTrust. Please go ahead; your line is open.
Patrick Scholes - SunTrust Robinson Humphrey: Hi, good morning.
Steve Joyce: Hi Patrick.
Patrick Scholes - SunTrust Robinson Humphrey: Can you just give me a quick update on where you stand with the Comfort Inn refresh, how far long is that and then I think you originally said you may loose up to 10% of those hotels. Of that 10%, how much are you retaining in some of your other brands. Thank you.
Steve Joyce: You’re welcome. So lets see; so we are very pleased because we are seeing early results in terms of guest satisfaction growth and comfort with really mostly programmatic stuff as opposed to the big investment, which is coming. We are hopping order magnitude to have something close to 10% to 15% of the system done sort of within the next year. On the term side we have dealt with a good number of the hotels that are going to be dealt with and I would say the number that we quoted earlier, the 40%-some of retention is probably a good number to go with. And one of the pleasant surprise is, which isn’t totally a surprise, but is most of all we see is how aggressive the owners are willing to be in terms of their investment to try to retain the flag if they think its at risk to them and so we’ve seen some hotels that we actually though would be to be removed from the system, actually obtain a level of performance and are positioning based on some pretty extensive capital investment that allows them to stay in, which is always encouraging, because the purpose of the program isn’t necessarily too many hotels. Its to make sure they fit the expectations of the guest. So net-net though, I would still sort of assume that the numbers that we put out there in the mid-term will probably be what we are going to work with. But we are very encouraged with the results so far and we are looking at several different approaches to accelerate this program, so that we are talking about net-net a 2 year to 3 year program versus a 5 year to 7 year, which if you look historically has happened with some of the other brands. And we are getting really good support from the franchise community and I think the timing is good, because people are sensing wind in their back, and so we are hoping that not only can we do the numbest that we talked, but that will begin to accelerate as we get more in to the program.
Patrick Scholes - SunTrust Robinson Humphrey: Thank you.
Operator: Thank you. I would now like to turn the call over to Steve Joyce for closing remarks.
Steve Joyce: So as I mentioned earlier, really we view ‘12 as a watershed year for us, a lot of records for the company, a very positive trends moving into ‘13. We think we are working on the right things to grow this company in a way that’s appropriate but also exciting. We are looking at lots of other opportunities as always. We have a very strong balance sheet. We are very pleased with the dividend that we will provide and the market response to that divided and are looking forward to a very strong ‘13 and sharing that with you as we go forward on the calls. Thank you very much.
Operator: Thank you for joining today’s conference. This concludes the presentation. You may disconnect your lines. Thank you for joining. Have a lovely day.